Operator: Good morning, ladies and gentlemen, and welcome to Genworth Financial's First Quarter 2024 Earnings Conference Call. My name is Cynthia, and I will be your coordinator today. [Operator Instructions] As a reminder, the conference is being recorded for replay purposes. [Operator Instructions]
 I would now like to turn the presentation over to Sarah Crews, Director of Investor Relations. Please go ahead. 
Sarah Crews: Thank you, and good morning. 
 Welcome to Genworth's Quarter 2024 Earnings Call. The slide presentation that accompanies this call is available on the Investor Relations section of the Genworth website, investor.genworth.com. Our earnings release and financial supplement can also be found there, and we encourage you to review these materials. 
 Speaking today will be Tom McInerney, President and Chief Executive Officer; and Jerome Upton, Chief Financial Officer. Following our prepared remarks, we will open the call up for a question-and-answer period. In addition to our speakers, Jamala Arland, President and CEO of our U.S. Life Insurance business; and Kelly Saltzgaber, Chief Investment Officer, will also be available to take your questions. 
 During the call this morning, we may make various forward-looking statements. Our actual results may differ materially from such statements. We advise you to read the cautionary notes regarding forward-looking statements in our earnings release and related presentation, as well as the risk factors of our most recent annual report on Form 10-K as filed with the SEC. 
 This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. In our investor materials, non-GAAP measures have been reconciled to GAAP where required in accordance with the SEC rules. Also, references to statutory results are estimates due to the timing of the filing of the statutory statements. 
 And now, I'll turn the call over to our President and CEO, Tom McInerney. 
Thomas McInerney: Thank you very much, Sarah, and good morning, everyone, and thank you for joining our first quarter earnings call. Genworth continued to make strong progress in the first quarter against our strategic priorities to drive long-term growth and shareholder value. In the first quarter, Genworth reported net income of $139 million or $0.31 per share and adjusted operating income of $85 million or $0.19 per share. Results were led again by Enact, which had a very strong quarter, with adjusted operating income of $135 million to Genworth. 
 Enact also announced a $250 million expansion of a share repurchase program and an increase in its ordinary dividend to $0.185 per share, up from $0.16 per share. We are very pleased with Enact's continued strong operating performance, capital levels and shareholder distributions. Since Enact's IPO, Genworth has received approximately $675 million in capital from Enact, including $61 million in the first quarter. We are very pleased with our approximately 81% ownership stake in Enact as it continues to generate significant earnings and is a key source of cash flows, helping fuel our share repurchase program, opportunistic debt reduction and our growth investments in CareScout.
 Our LTC segment reported adjusted operating income of $3 million in the quarter, driven by seasonally higher claim terminations. Meanwhile, our Life and Annuities segment reported an adjusted operating loss of $15 million, driven by losses in life insurance. Jerome will cover the performance of these segments in more detail later. 
 On a statutory accounting basis, the U.S. life insurance companies had a very strong quarter with pre-tax income estimated at $258 million, driven primarily by benefits from LTC in-force rate actions including the impact of legal settlements. Complete statutory results for our U.S. life insurance companies will be available when we file our first quarter statutory statements later this month. 
 Turning to our 3 strategic priorities. We continue to further strengthen the financial and operating capabilities of our legacy LTC insurance business. We're achieving this primarily through our multi-year rate action plan or MYRAP, the most effective tool we have to bring our legacy LTC insurance portfolio to break even on a go-forward basis and ensure the continued self-sustainability of the life insurance companies. We achieved a total of $41 million of gross incremental premium approved through March with an average percentage premium increase of 25%. This brings our cumulative progress to approximately $28 billion in approvals on a net present value basis since 2012. 
 Our second strategic priority is to develop innovative aging services and solutions through CareScout. On this front, CareScout Services is well positioned to drive future growth for Genworth as we continue to make significant progress on the first phase of our offering with the build-out of our CareScout Quality Network, a network of long-term care providers. The CareScout Quality Network is now available in over 30 states with more than 200 providers in the network. We continue to add providers to the network that meet our quality credentialing standards and agree to negotiated preferred rates. By the end of the year, we anticipate we will have CareScout Quality Network home care coverage for 2/3 or more of the aged 65-plus census population in the U.S. 
 The CareScout Services business model is predicated on earning revenues generated from discounts on LTC claims savings with an initial focus on reducing claim costs on Genworth LTC policyholders' claims. Historically, Genworth policyholders have chosen their care providers with little input from Genworth, and more than 1/3 have chosen providers that charge hourly rates above the median cost of care in their respective ZIP codes. 
 Two key benefits of the CareScout Quality Network are the higher quality of care and the lower hourly rates negotiated with the subset of providers that are admitted to the network. Providers are willing to accept lower hourly rates in exchange for potential access to Genworth's 1 million LTC policyholders. Currently, 85% to 90% of the providers approved for our network have agreed to hourly rates below the median cost of care for their respective ZIP codes. While Genworth policyholders can choose a care provider outside of the CareScout Quality Network, we assume many will choose providers in the network because they will allow their policy benefits to potentially last longer while receiving care from high quality, person-centered care providers. 
 Genworth's Life Insurance Company and CareScout Services have negotiated an [indiscernible] agreement that is triggered when a Genworth policyholder chooses the CareScout Quality Network provider. Genworth, of course, benefits from 100% of the applicable cost discount negotiated with the provider. The life insurance company retained 75% of the value of the discount through lower claim costs, which we continue to forecast between $1 billion to $1.5 billion in savings over time on a net present value basis. The remaining 25% of value of the discount is paid as a fee to CareScout Services for the use of their network. 
 As the number of matches between individuals on claim and CareScout Quality Network providers grows, CareScout Services revenues will increase. With the network in place across the country by the end of the year, we expect CareScout revenues to grow as matches increase in 2025. Over time, with national coverage in the CareScout Quality Network, we will expand our customer base beyond Genworth policyholders to include other LTC insurance carriers, policyholders, and then eventually go directly to consumers. 
 As we have said before, we believe a holistic approach to making aging more dignified, connected and fulfilling includes offering insurance and other funding solutions to help pay for long-term care. We continue to build the foundation for these offerings in CareScout and now expect to complete this foundational work by the end of the year with a goal of [formerly] offering a first insurance product in early 2025. 
 As we work through designing and pricing our new LTC insurance products and its related assumptions, we are leveraging our unparalleled experience in paying over 370,000 LTC claims. When I look at the LTC insurance products currently available in the market, I believe that the price points from many of these products reflect pricing assumptions that are aggressive. 
 Moving to our third strategic priority, capital management. We continue to allocate excess cash from Enact to drive Genworth's long-term shareholder value. In the first quarter, we made excellent progress continuing to execute our share repurchase program. In total, we have repurchased approximately $434 million of shares at an average price of $5.42 per share since the program's inception in May 2022. Cash flows from Enact have also enabled us to invest in long-term growth, and we continue to expect approximately $35 million of capital contributions to CareScout Services this year as we build out the CareScout Quality Network. We will continue to prudently scale and diversify CareScout Services in a way that will leverage our intellectual property, successfully drive claim savings in our legacy LTC block, introduce new offerings to the market and drive long-term growth. 
 Before I wrap up, I wanted to take a moment to remind investors that the trial date in AXA's case against Santander regarding the payment protection insurance mis-selling case is still set for March of next year. As we have said before, Genworth is not a party to the case, but we previously owned the payment protection insurance business before selling it to AXA in 2015. If AXA is successful in pursuing its claims, we will share in the recoveries AXA receives from Santander. We continue to monitor the proceedings closely, and we'll update investors with any material developments. 
 In closing, I'm very pleased with our continued progress against our strategic priorities year-to-date, along with Enact's strong performance. And with that, I'll turn the call over to Jerome. 
Jerome Upton: Thank you, Tom, and good morning, everyone. 
 I'm very pleased with the ongoing value creation delivered by Enact and progress on our LTC in-force rate actions, as well as our capital optimization and continued improvement in financial flexibility. I'll first discuss Genworth's results and drivers in more detail, then I'll provide an update on our investment portfolio and liquidity before we open the call for Q&A. 
 Per Slide 5, and as Tom mentioned, first quarter adjusted operating income was $85 million, driven primarily by Enact. Our Long-Term Care Insurance segment reported adjusted operating income of $3 million, including a liability remeasurement gain from actual to expected experience, primarily driven by seasonally high mortality. Looking ahead, despite the favorable seasonal impact in the first quarter due to short-term deviations of actual results compared to long-term assumptions, we continue to expect LTC earnings pressure throughout the remainder of the year and expect a liability remeasurement loss from actual to expected experience for the full year on a GAAP basis. 
 As a reminder, last year, we recorded a full year pre-tax actual to expected loss of $269 million with a quarterly average loss of about $65 million after experiencing positive first quarter results. And, as we have said before, GAAP results continue to be volatile. We believe statutory results better represent the underlying performance of the life companies, including the positive impacts resulting from our in-force rate actions. 
 The results from Enact and LTC were partially offset by adjusted operating losses of $15 million in Life and Annuities and $38 million in Corporate and Other. Life and Annuities included an adjusted operating loss in life insurance of $33 million, reflecting the unfavorable impacts of seasonally high mortality as well as adjusted operating income of $11 million from fixed annuities and $7 million from variable annuities. The loss in Corporate and Other was driven by unfavorable tax timing of $15 million that we expect to reverse by year-end and higher expenses related to new growth initiatives with CareScout Services. 
 Now taking a closer look at Enact's performance on Slide 6, Enact delivered a very strong first quarter, including high-quality growth in its insured portfolio and strong profitability. Enact's adjusted operating income of $135 million to Genworth was down 6% versus the prior year as a result of a smaller reserve release in the quarter. Primary insurance in-force increased 4% year-over-year to $264 billion, driven by new insurance written and continued elevated persistency. Genworth's share of Enact's book value, including AOCI has increased to $3.8 billion at the end of the first quarter of 2024 while at the same time, Enact has delivered significant capital returns to Genworth. 
 As shown on Slide 7, Enact had a favorable $54 million pre-tax reserve release in the first quarter which drove a loss ratio of 8%. The reserve release primarily reflects favorable cure performance from early 2023 and prior delinquencies. Enact has a strong estimated PMIERs sufficiency ratio of 163%, approximately $1.9 billion above PMIERs requirements. 
 Enact continues to deliver strong cash flows to Genworth. The combination of Enact's quarterly dividend and its share repurchase program generated a total of $61 million in proceeds to Genworth in the first quarter. As Enact announced yesterday, it has increased its quarterly dividend and expanded its share repurchase program by $250 million and continues to expect to return a total of $300 million to its shareholders in 2024. Based on our 81.5% ownership position, we expect to receive $245 million from Enact for the full year. Enact's updated program enables Genworth to potentially receive proceeds earlier in the year than previously anticipated, which would allow us to be more opportunistic with our own share repurchases throughout the year. 
 Turning to Long-term Care Insurance, starting on Slide 8. We are making strong progress on our strategy to achieve economic breakeven on a go-forward basis in the legacy LTC business. We continue to significantly reduce tail risk through our multi-year rate action plan or MYRAP and legal settlements. As of the end of the first quarter, we have achieved in-force rate actions worth approximately $28 billion on a net present value basis and have seen a cumulative policyholder response rate of 53% to reduce benefits. Upon the completion later this year of the third and final legal settlement on our large Choice II block, approximately 70% of the LTC block will have been offered reduced benefit options under these settlements. 
 Slide 9 shows more details on the in-force rate action filings approved in recent periods as well as the positive trend we've seen in policyholder benefit reduction elections. We continue to expect strong approvals for the full year. As more policyholders elect to reduce their benefits as a part of the MYRAP or the recent legal settlements, they're able to maintain meaningful coverage while reducing Genworth's tail risk on these policies and further protecting our ability to pay claims over the long term. As we've said before, we manage the U.S. life insurance companies on a stand-alone basis. They operate as a closed system, leveraging existing reserves and capital to cover future claims and other obligations. We will not put capital into the legacy life insurance companies and, given the long-tail nature of our LTC insurance policies with peak claim years still well over a decade away, we also do not expect capital returns from this segment. 
 As shown on Slide 10, we had total LTC statutory pre-tax income of $151 million, reflecting a significant benefit from in-force rate actions and legal settlements of $462 million. 
 Slide 11 shows our very strong overall statutory pre-tax income for the U.S. life insurance companies of $258 million. This was led by LTC and the favorable impacts with in-force rate actions and legal settlements, as well as a $97 million benefit to variable annuities from equity market and interest rate movement in the quarter. In addition, first quarter results reflect the net favorable impact of seasonally high mortality, which typically trends lower through the remainder of the year. The consolidated risk-based capital ratio for Genworth Life Insurance Company, or GLIC, was 314% at the end of March compared to 303% at the end of last year, driven by strong statutory earnings. GLIC's consolidated balance sheet remains sound with capital and surplus as of the end of March of $3.5 billion. Our final statutory results will be available on our investor website with our first quarter filings later this month. 
 Moving to our investment portfolio, which is summarized on Slide 12. We remain confident in our positioning and believe we have the right strategy given the products in our portfolio and the long duration of our liabilities with very limited liquidity risk. As a reminder, the majority of our assets are in investment-grade fixed maturities that we generally buy and hold to support the U.S. life insurance company's liabilities, with unrealized gains and losses impacting equity through changes in other comprehensive income. The portfolio continues to benefit from the high interest rate environment, and we continue to monitor our commercial real estate exposure which is approximately 16% of our total portfolio. It has a manageable maturity schedule and is concentrated in higher quality investment-grade assets, with office exposure less than 20% of our real estate investments. 
 Next, turning to the holding company on Slide 13. We received $61 million of capital from Enact during the first quarter, which included accelerated returns from its share repurchase program. We ended the quarter with $253 million of cash and liquid assets. Outflows in the quarter included $78 million of other items, largely related to annual employee benefit payments that are reimbursed by our subsidiaries throughout the year. 
 Tom reviewed our capital allocation strategy, and I'll reiterate that our top priorities shown on Slide 14 are to invest in long-term growth through CareScout, return cash to shareholders through our share repurchase program when our share price is below intrinsic value, and opportunistically pay down debt when attractive to us. We continued to return capital to shareholders via share repurchases in the first quarter repurchasing $63 million at an average price of $6.17 per share and another $12 million through April 30. We have $266 million remaining under our current authorization as of the end of April and continue to expect to allocate roughly $125 million to $150 million to share repurchases in 2024. 
 We were able to execute repurchases at an accelerated pace in the first quarter due to cash received late in the fourth quarter from Enact through the first quarter from Enact share repurchase program and due to our share price being below our intrinsic value. Our expected range for the full year may vary depending on our share price and market conditions, and as a reminder, is lower than the amount we repurchased in 2023 given that we have fully utilized our holding company tax assets. We're very pleased with the value created for shareholders through our share repurchase program. 
 We also repurchased $6 million of debt in the first quarter, reducing our total holding company debt to $850 million. We maintained a debt-to-capital ratio below 25% attributing no equity value to LTC, Life and Annuities. We are very comfortable with our financial flexibility given our liquidity level, sustainable cash flows from Enact and manageable debt level. 
 In closing, we are delivering on our strategic priorities while proactively managing our liabilities and risks. The multi-year rate action plan and the additional benefit from 3 LTC legal settlements are enhancing our ability to honor policyholder commitments and further stabilize the legacy LTC block. Enact is a strong driver of shareholder value as evidenced by its stable earnings, increasing book value and capital returns. Looking ahead, we will continue to focus on delivering sustainable long-term growth through Enact and CareScout while returning meaningful value to shareholders through share repurchases and opportunistically repurchasing holding company debt. 
 Now let's open up the line for questions. 
Operator: Ladies and gentlemen, we will now begin the Q&A portion of the call. [Operator Instructions]
 It appears that there are no questions at this time. Ladies and gentlemen, I will now turn the call back over to Mr. McInerney for closing comments. 
Thomas McInerney: Thank you very much, Cynthia. 
 What I'd like to do is just sum up and say we're very pleased with the trajectory of Genworth's key value drivers, along with another very strong quarter for Enact, and for the U.S. life companies, a very strong statutory income in the quarter of $258 million. 
 I want to thank all of you for your interest and support of Genworth. I guess we'll see you next in the upcoming shareholders meeting, which is in -- later in May, and then we look forward to seeing you again next quarter. 
 And with that, I'll turn the call back over to Cynthia. 
Operator: Ladies and gentlemen, this concludes Genworth Financial's First Quarter Conference Call. Thank you for your participation. At this time, the call will end.